Operator: Good morning ladies and gentlemen, thank you for standing by. Welcome to the Xcel Energy fourth quarter 2011 earnings conference call. During today’s presentation all parties will be in a listen-only mode and following the presentation the conference will be opened for questions. (Operator Instructions). I would now like to turn the conference over to Paul Johnson, Vice President of Investor Relations and Financial Management. Please go ahead.
Paul Johnson: Thank you and welcome to Xcel Energy’s year-end 2011 earnings release conference call. I’m Paul Johnson. With me today are Ben Fowke, Chairman, President and Chief Executive Officer; Teresa Madden, Senior Vice President and Chief Financial Officer; Dave Sparby, Senior Vice President and Group President; Scott Wilensky, Senior Vice President and General Counsel, and George Tyson, Vice President and Treasurer. Today, we’ll discuss our 2011 results, provide you with the recent business and regulatory developments and review our 2012 earnings guidance. Please note that there are slides that accompany the conference call and are available on our web page. Before we begin, let me remind you that some of our comments may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. I’ll now turn the call over to Ben Fowke.
Ben Fowke: Thanks Paul and good morning. I’m pleased to announce that Xcel Energy enjoyed another successful year. I’ll review some of the highlights from 2011 and also comment on some of the challenges we face in 2012. Teresa will then discuss our 2011 results in greater detail. As you probably read in this morning’s press release, we reported 2011 earnings of $1.72 per share, compared with $1.62 per share in 2010, representing a 6% increase. We feel good about delivering earnings results in the upper half of our 2011 earnings guidance range of $1.65 to $1.75 per share. This marks the seventh consecutive year that we have met or exceeded our annual earnings objective. We were also successful in meeting our other financial objectives. We raised an annual dividend of $0.03 per share or 3% to $1.04 per share and we maintained our strong credit ratings. Continuing to meet our financial objectives is certainly important; however, I’m equally proud that we delivered a high level of system reliability in a year that clearly presented us with some weather related challenges. In addition to our hot summer throughout our service territory, we experienced some rather noteworthy storms in 2011, including a tornado in a densely populated Minneapolis neighborhood and early season snowstorms in the Denver area. All of these storms resulted in significant damage and widespread power outages. I commend our employees for how rapidly and thoroughly they responded to these challenging events, restoring service in all situations in record time. Delivering value to our customers has led to a record customer satisfaction rating of 93% in 2011, slightly above the 92% rating we received in 2009 and 2010. We had some significant operational successes in 2011 that should position us to continue to provide a high level of service to our customers for many years to come. To name a few, the NRC renewed the operating license for our Prairie Island plants, authorizing the units to generate emission free base load generation for another 20 years. In Texas we put the Jones 3 combustion turbine into service one year early and substantially under budget. At NSP, the MISO Board approved multi value project status for the Brookings Hampton line with the projected investment by Xcel Energy of $480 million and we had the first segments of SB100, Power for the Plains and the CapX2020 transmission projects, which totaled over 180 miles going to service. In addition, Xcel Energy was named to the 2011-2012 Dow Jones Sustainability Index. This is the fifth year we earned a place in the Index, which includes companies considered to be best in class in terms of economic, environmental and social performance. Xcel Energy also ranked second at a 2,500 publicly traded companies on Trust Across America’s 2011 list of Most Trustworthy Companies in the United States. Another positive event occurred in late 2011 when the D.C. Circuit Court suspended the order on CSAPR. This is great news for our customers, particularly in Texas. The unexpected inclusion of Texas under CSAPR created significant issues for SPS. With limited options to comply by 2012, our plan was to alter the dispatching of our plants in Texas by simultaneously reducing the energy output of our coal plants, while increasing the operation of our natural gas plants. This stay allows us to defer the rules significant cost increases and potential reliability problems, which would have affected our customers SPS. We are hopeful that the court’s decision on the merits of the rule expected later this year, will enable us to comply in a more reasonable, cost effective manner. Our five-year capital forecast includes about $470 million for CSAPR. While it’s possible the timing and the total investment may change, we don’t plan to revise our forecast until there’s more clarity surrounding the court’s final determination on the rule. So 2011 was a good year. Unfortunately 2012 is not beginning as we had anticipated. As we noted in mid-January, the Colorado’s Commissions decision to deny our request for interim rate increase of $100 million poses a challenge for us as we start the year. In addition, our fourth quarter weather normalized electric sales declined slightly, something we haven’t experienced since 2009. As a result, our annual weather adjusted sales growth was only six-tenth of a percent in 2011. This leads us to believe that sales growth in 2012 could potentially be weaker than we originally forecasted. Compounding the negative sales trend, the winter has been relatively mild thus far. We estimate that the mild weather in January will reduce first quarter earnings by approximately $0.02 per share. Finally, we received our property tax statements in December and they were higher than we anticipated for both 2011 and 2012. The combination of these factors creates some headwinds for us. Fortunately it’s early in the year, so we have time to take action and we are. While we are facing some challenges as we begin 2012, I believe our long-term prospects remain very favorable. Specifically, I believe the recent setback in Colorado is not indicative of an erosion in the regulatory compact. While the Colorado Commission did not authorize interim rates, they did approve an accounting order that will allow us to establish a regulatory asset to offset the impact of the expiration of the Black Hills contract. This decision represents about $0.02 per share to our projected 2012 earnings. Additionally, we are implementing actions to reduce O&M expenses, which are expected to partially offset the impact of the headwinds I mentioned. We’ve established a solid track record of delivering on our financial objectives and we intend to do so in 2012. Now, I’d like to turn the call over to Teresa Madden.
Teresa Madden: Thanks Ben and good morning. Today I will discuss our year-end results, pending rate cases and 2012 earnings guidance. Let’s begin with a review of 2011 results at each of our operating companies. PSCo earnings decreased $0.04 per share for the year. The decrease is due to the implementation of seasonal rates in June 2010, higher O&M expenses, depreciation expense and property taxes, partially offset by the impact of warmer weather last summer. At NSP-Minnesota, earnings increased $0.13 per share, largely due to interim electric rates in Minnesota and North Dakota and conservation incentives, partially offset by higher O&M expenses, depreciation and property taxes. Earnings at SPS increased $0.01 per share, largely due to an electric rate increase in Texas and higher sales driven again by record-breaking hot summer weather. These positive items were also partially offset by higher O&M, property taxes and depreciation expense. Finally, 2011 NSP Wisconsin earnings increased $0.01 per share. The positive impact of new electric rates was partially offset by higher O&M and depreciation expense. I will now discuss some of the primary drivers on the income statement beginning with retail electric margin. In 2011, retail electric margin increased by $334 million. Significant drivers include a $102 million increase from interim and finance rates in multiple states, $124 million increase in revenue requirements reflecting the acquisition of two natural gas power plants in Colorado in late 2010. This margin impact is partially offset by higher O&M, depreciation, property taxes and financing costs associated with these facilities. Finally, we met or exceeded our conservation in DSM targets, which resulted in a $45 million increase from higher conservation and DSM revenue and incentives. For the year, natural gas margin increased by a modest $28 million, driven primarily by conservation and DSM revenue, as well as weather. Partially offsetting the improvement in our electric and natural gas margins were increases in a few expense categories. O&M expenses increased $83 million or 4%, largely driven by increased plant generation, labor and employee benefit cost. Our O&M expenses came largely in line with our expectations for the year. Depreciation expense also offset some of the improvement in margins, increasing $32 million or 3.7%. The increase was driven by incremental capital investments representing an additional 1,800 megawatts of generation, including several larger projects that went into service such as a portion of the Monticello nuclear power upgrade come into Q3, the Minnesota Nobles wind project, two natural gas plants in Colorado that we acquired from Calpine and our SPS Jones 3 Unit addition. However, the annual increase in depreciation expense was reduced by $30 million due to deprecation life changes agreed to in the settlement with various parties and the pending Minnesota Electric rate case. As Ben mentioned, we experienced higher property taxes, primarily in Colorado and Minnesota, which led to a $43 million or 12.9% increase in taxes other than income. Last year was another busy and largely constructive year for us on the regulatory front. In addition to completing several rate cases that I will detail in a few moments, it’s also important to recognize some new mechanisms were approved that are designed to reduce regulatory lag. For example; in Colorado, we received approval for a new rider towards the cover cost associated with the Natural Gas Pipeline Integrity Management Program. In Texas, we received legislative approval to implement a distribution rider and in Minnesota we gained legislative approval for a multiyear rate plan. I will now touch on some of our recently completed rate cases. In December, the New Mexico Commission approved our settlement agreement to increase electric rates by $13.5 million effective in January 2012. In Wisconsin, the Commission approved a $12.2 million electric rate increase and a $2.9 million natural gas increase, both effective last month. We reached settlement agreements in our Minnesota and North Dakota electric rate cases last year and expect decisions by the respective commissions during the first quarter of 2012. As you might remember, interim rates for both states were effective in January 2011 and settlement agreements include step increases in 2012. In South Dakota, we implemented an interim rate increase of $12.7 million last month. We continue to anticipate that the commission will decide this case in the first half of the year. We’ll continue to pursue constructive regulatory outcomes in 2012. Of course, our pending Colorado electric case will be of great significance during the first half of the year. We’ve requested a $142 million increase and anticipate that final rates will be effective in the July-August timeframe. We are optimistic that the Commission will support the use of the forecast test year, which our request is based upon. In addition, we continue to explore the potential of multi-year rate plans with key stakeholders to determine whether this approach can be achieved through a settlement. Other expected rate cases to be filed in 2012 include a 2013 Wisconsin rate case, and in Minnesota we continue to proceed with plans to file a 2013 electric case in November. This request may include a multi-year plan. Finally, we will consider filing rate cases in some of our other jurisdictions. Turning to our outlook for 2012, Ben already highlighted some of the challenges. I’ll reiterate; it’s early in the year and we are taking steps to mitigate the impact of the decision by the Colorado Commission to deny our interim rate request. As a result we now forecast 2012 earnings per share to be in the lower half of the $1.75 to $1.85 range. Achieving 2012 earnings in the lower half of the range would be consistent with our 5% to 7% earnings growth objective. Using 2009 as the base year, the lower half of the 2012 guidance range represents 5% to 6% compound and earnings growth. Certain events entering 2012 were unique. Looking ahead, you shouldn’t anticipate that we will provide future quarterly updates or color regarding where we expect to end up in the guidance range. As noted in today’s release, we’ve updated some of the guidance assumptions. We lowered our expected increase in O&M expenses to reflect the management actions we have implemented. We also added an assumption related to the increase in property taxes. It’s important to recognize that we requested a deferral of the 2012 increase in property taxes in Minnesota, consistent with our settlement in the rate case. The guidance range assumes a favorable outcome with respect to that request. In summary, 2011 was another great year for Xcel Energy. We delivered on our financial objectives; we exceeded our energy efficiency and conservation program targets; we anticipated and responded to adverse weather events in a timely and responsible manner and as a result, we improved our historically high levels of customer service. Our efforts were also reflected in our stock price, which rose more than 17% in 2011 and hit a nine-year high during the last day of December. We delivered a total return in excess of 22%. Looking ahead, we’ve outlined some challenges we face in 2012, but as our track record demonstrates, we are committed to delivering on our financial objectives, while providing excellent service and value to our customers. I am confident we’ll deliver on those commitments again this year. That concludes my prepared remarks. Operator, we will now take questions. 
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). Our first question is from the line of Travis Miller with Morningstar. Please go ahead.
Travis Miller - Morningstar: Thanks. Good morning.
Ben Fowke: Hey Travis.
Travis Miller - Morningstar: On all the regulatory activity that you guys have in process and you expect over the next year, year and a half, how concerned are you about ROE cuts that could come under 10% rather, given where interest rates are and some other rate case decisions we’ve seen across the U.S.?
Ben Fowke: Well, I think it’s a concern Travis and we’ve talked about it before, that the trend is to see lower authorized ROEs. I’d certainly hope we don’t go below 10%, but as you also have heard as I talked about before, I think we have upside even in a falling authorized ROE environment if we can close that regulatory lag that we talk about through things like multi year and the riders that Teresa talked about, so that we actually can make up more ground than we might lose on the authorized basis.
Travis Miller - Morningstar: Okay. What did you earn in 2011 rather across your service territories?
Ben Fowke: Correct me if I’m wrong Teresa, but on a consolidated basis, I think we earned about 10%. But remember, that reflects a little bit of debt at the holding company, so I would say our average ROE earned at the OPCo’s was probably in low 9%.
Teresa Madden: They ranged 9% to 10% or just that, except for SPS was slightly lower.
Ben Fowke: Yes, so our aggregates probably about low 9% I would think.
Travis Miller - Morningstar: Okay. Thanks a lot.
Operator: And our next question comes from the line of Ali Agha with SunTrust. Please go ahead.
Ali Agha - SunTrust: Thank you and good morning.
Ben Fowke: Hi Ali.
Ali Agha - SunTrust: Ben, to be clear on the Colorado situation, as I recall, after they denied your interim request, you went back with another interim request at a lower amount. Where do we stand on that and is that still possible that they could grant that?
Ben Fowke: They denied that too at the same time that they suggested that we look at the accounting order approach, which as you know we took them up on that suggestion and they did approve that just recently here. That has, as I mentioned on my prepared remarks about a $0.02 positive impact and helps to mitigate the denial of the interim rates.
Ali Agha - SunTrust: Okay, okay. And as you mentioned low 9% ROEs at the OPCo level in ‘11, what’s embedded in the ‘12 guidance assuming as you mentioned you end up in that lower end of the range. What should be the corresponding OPCo ROE roughly there?
Ben Fowke: Well, I think some of the things we’ve talked about, like multi year plans, etcetera certainly are going to help. I think that impact would be more evident in 2013 than 2012. I mean we had the setback on the interim rates as we entered this year. So I suspect that we will probably have about the same kind of ROE at the consolidated level in ‘12 that we have in ‘11.
Ali Agha - SunTrust: Consolidated, and also at the OPCo as well, the same thing?
Ben Fowke: Yes, I mean it will be variance. Go ahead Teresa.
Teresa Madden: Yes, it will range in the 9% up to 10% amongst the OPCos. Generally the range, whoever has a rate case in that period, like we will earn a little higher, so if we look at ‘11, Minnesota is slightly higher than Colorado and then it will flip around. So this is somewhat driven, but they are all within that range. It has new rates.
Ali Agha - SunTrust: And Teresa if I heard you correctly earlier, is it fair to say that when you look at lag across the system, is SPS, does that have the largest lag between authorized and earned right now or how would you categorize your biggest lag utilities at this point?
Teresa Madden: Yes, I would say it’s the largest. Their rates are set on a historical test year. So we do see the largest lag and we have less riders in Texas as well.
Ben Fowke: Ali, keep in mind though that SPS has made some pretty significant improvements as we all know from where we were just a few years ago. So, we continue to, I think improve the regulatory compact there and look to do that in future years as well.
Ali Agha - SunTrust: Yes, and also one other clarification. Teresa, I think you mentioned the property tax deferral in Minnesota, you asked for that and you’ve assumed you’ll get it. Can you remind us how big of an amount that is?
Teresa Madden: Yes, it’s $28 million and it’s both electric and gas. So even though it came out of the electric case, it’s for both businesses.
Ali Agha - SunTrust: Okay, last question, given your assumptions and guidance, fair to assume you’re not looking at any scenario that would cause you to issue equity in ‘12 or could that change depending on stock price, performance, etcetera?
Ben Fowke: Well, I think as we’ve indicated before, we are not planning to issue any equity in ‘12, but we’ll be opportunistic and if we see conditions that would warrant that, we would consider entering into a forward transaction. So we are still in the same position and consistent with we’ve previously indicated.
Ali Agha - SunTrust: Thank you very much.
Teresa Madden: Your welcome.
Operator: Thank you. Our next question comes from the line of Angie Storozynski with Macquarie. Please go ahead.
Angie Storozynski - Macquarie: Thank you. I have two questions. The first one is about the retail sales and the weather analyzed load growth. You mentioned that it was disappointing in the fourth quarter and I’m just wondering, is this just purely the economic slowdown or is this sustainable conservation?
Ben Fowke: We were disappointed I think in the last quarter of 2011, which drove the overall year to just a little over a half or six-tenths of a percent. It’s a little bit perplexing, because while haven’t been immune to the recession, generally our states have done very well. Lower unemployment; we’re seeing jobs growth and we didn’t lose as many jobs and where we are seeing a lot of the fall off is in the residential and small C&I. I wish I had a better explanation for you, but outside of our DSM programs, which probably account for about seven-tenths of a percent of the fall-off and as you know Angie, we are compensated for that; it’s a little harder to explain.
Angie Storozynski - Macquarie: There’s clearly a trend that we are seeing across the country and pretty much every single utility now says that it has nothing to do with conservation, it’s nor the economy, but yet at DSM macroeconomic indicators seems to be at least mix and maybe slightly even positive and so it’s just hard to believe that pretty much every single region has seen the flattish weather normalized power sales.
Ben Fowke: Well, I mean typically you can add 70 basis points back to whatever our sales are because of our DSM programs. So I would definitely say our DSM programs are having the intended effect, but then once you get past that, whether it’s efficiencies we don’t know about or change in consumer behaviors or there’s a lot of different theories, household consolidation, etcetera, we are not quite sure, but we are certainly seeing it and we are going to have to continue to monitor it.
Angie Storozynski - Macquarie: Okay. My second question is about CSAPR. I recall that you guys mentioned that if CSAPR was in fact implemented on January 1, you would have ran your gas plants more, which in turn would increase your O&M expenses. Now that CSAPR has stayed, that you don’t have to tick up in expenses, shouldn’t that be helping your 2012 guidance?
Ben Fowke: Well Angie, the biggest impact of having to basically turn our dispatch order upside down was the increase in fuel expense, so not the O&M expense, so not too much of a delta on the O&M there.
Angie Storozynski - Macquarie: Okay, okay, that’s fine. Thank you very much.
Ben Fowke: Thanks.
Operator: And our next question comes from the line of Paul Fremont with Jefferies & Company. Please go ahead.
Paul Fremont - Jefferies: Thanks. I guess when the interim rate relief was originally denied and you guys talked about earning at the low end of the guidance range, the impact of that seems to be on the order of magnitude about a nickel and it looks like you’ve got $0.025 back obviously, based on your ability to defer the Black Hills contract. So I’m just wondering, since you’re still sort of projecting the low end of your guidance range, did something happen between then and now that’s making you more concerned about other parts of your operation, be it slower load growth or more difficulty potentially in cutting O&M?
Ben Fowke: No. I mean I think the original request would have had about – I think we had it more, I guess $0.06 if we had everything we asked for, which we typically don’t and then we have the account in order to your point which knocks off $0.02 of that, so it’s a setback. It’s certainly helpful. I think we have a much better opportunity to work our way up towards the middle of the range now as a result, but we continue to have some of the other headwinds that I talked about. We just talked about sales. This has been, I think the fourth warmest winter on record in Minnesota and I don’t have the results for Colorado, but I wouldn’t be surprised if they are not similar and that’s impacting us $0.02, and frankly February is starting out pretty warm too. So those are the things along with property taxes that we’ll have to concentrate on. We do have plans to mitigate that to some O&M reductions and that will help too. So the order I think was a definite improvement and again, if we get a few breaks we’ll push it back towards the middle.
Paul Fremont - Jefferies: Based on what you just said, the weather impact so far, you would calculate at about $0.02 negative for the first quarter?
Ben Fowke: Through January, it was $0.02 negative, roughly.
Paul Fremont - Jefferies: Thank you.
Ben Fowke: Your welcome.
Operator: Our next question comes from the line of Dan Jenkins with State of Wisconsin Investment Board. Just go ahead.
Dan Jenkins - State of Wisconsin Investment Board: Hi, good morning. 
Ben Fowke: Hey Dan.
Teresa Madden: Morning.
Dan Jenkins - State of Wisconsin Investment Board: First think I was wanting to ask about was, you laid out your CapEx on Page 11 of the release and you put a note in there related to the CSAPR. I just wondered if you could give us a little more color on if the stay were removed, with CapEx should have laid out there for CSAPR stay the same or would that have to be moved in some way?
Ben Fowke: Well, you’re kind of hitting on it Dan. There’s three outcomes, right. They could be reinstated. I don’t think that’s very high likelihood, but it’s certainly possible. It could be repealed completely, which I do think is a possibility or the courts could remand it back to the EPA and ask if they’d modify it in some way. So we currently have 474 I think or 470 in there for CapEx. If it was reinstated now, we’ll spend about that amount. If it’s repealed, we might not have to spend anything at least in the near term. I think some other rules eventually might catch us, but it certainly will be very favorable, and then somewhere in between if it’s remanded. So I mean obviously that’s about $0.5 billion swing, but that’s where we are right now.
Dan Jenkins - State of Wisconsin Investment Board: Okay, and if the current rules were enforced, would that impact any of your plants as far as being retired?
Ben Fowke: No, you’re saying if the core came back and just basically restated everything?
Dan Jenkins - State of Wisconsin Investment Board: Right.
Ben Fowke: We would be back to the plan that we entered the year with and we would, we’d be looking at different dispatches, hopefully find some allowances in the market. We haven’t had a lot of success as you know and we talked about that and we would plan to put the CapEx in. So hopefully that doesn’t happen, at least not with an extension of the compliance base.
Dan Jenkins - State of Wisconsin Investment Board: Okay. The another thing I had was on your pending rate cases, your ongoing rate cases, where you don’t have the settlements and basically in Colorado Electric and South Dakota Electric. I was wondering what the last authorized ROE is versus what you requested? I think you would lay out what the requested ROE is, but I was curious how those compare with what the last authorized ROEs were.
Ben Fowke: The last authorized ROE in Colorado was 10.5%.
Dan Jenkins - State of Wisconsin Investment Board: How about in South Dakota?
Ben Fowke: 10% for South Dakota.
Dan Jenkins - State of Wisconsin Investment Board: Okay, thank you. That’s all I have.
Operator: (Operator Instructions) Our next question is from the line of Neil Kalton with Wells Fargo. Go ahead.
Neil Kalton - Wells Fargo: Good morning everyone. Just a quick question on the interim rates and the setback there, and this maybe speculative in nature, but do you think that that has any implications for the appetite of multi year plans in the state? I mean is there any read through there at all?
Ben Fowke: No. I mean, there is two ways to get a multi year, through settlement or through the Commission deciding and I don’t think it really probably impacted very much Neil. As I said in my remarks, I mean we were obviously disappointed by not getting the interim rates and our interpretation of the Clean Air-Clean Jobs legislation certainly would indicate that we were very much eligible for it, but the Commission looked more to a historical precedent, which is a much tougher bar to meet. So, it’s disappointing, but I think it’s more of an anomaly given the accounting order. I mean, I still think we have a Commission there that wants to be constructive and understands that what we are trying to accomplish in Colorado is good for the state and good for our customers.
Scott Wilensky: Neil, just as a point of reference to you. During the hearings, the Commission at the end of it also indicated that they’d like to see us work towards the multi year settlement if the parties were interested. So I mean, they clearly gave us the signal that they were open and thought it was a positive thing.
Neil Kalton - Wells Fargo: Okay thanks. Thank you.
Operator: And there are no further questions in queue. I’d like to turn the call back over to Teresa Madden.
Teresa Madden: Thank you for participating in our year-end earnings conference call. If you have any follow-up questions, please contact Paul Johnson and the IR team. Thanks a lot.